Operator: Thank you for standing by and welcome to the ZoomInfo Third Quarter Year 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your speaker for today, Mr. Jerry Sisitsky, please begin.
Jeremiah Sisitsky: Thanks, Jenny. Welcome to ZoomInfo's financial results conference call, highlighting our results for the third quarter of 2021. With me on the call today are Henry Schuck, Founder and CEO of ZoomInfo; and Cameron Hyzer, our Chief Financial Officer. After their remarks, we'll open the call to Q&A. During this call, any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including business outlook, expectations for future financial performance and similar items, including, without limitation, expressions using the terminology may, will, expect, anticipate and believe and expressions which reflect something other than historical facts, are intended to identify forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors sections of our filings with the SEC. Actual results may differ materially from any forward-looking statements. Company undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in the slides that we have posted to our Investor Relations website at ir.zoominfo.com. All metrics discussed on this call are non-GAAP, unless otherwise noted. A reconciliation can be found in the financial results press release or in the slides that we have posted to our Investor Relations website. Lastly, we are participating in a number of investor conferences over the next few months, including RBC, Credit Suisse, Wells Fargo, the NASDAQ Conference, Raymond James, Barclays and UBS. We hope that we will have the opportunity to connect with you at one of those events. With that, I'll turn the call over to our CEO, Henry Schuck.
Henry Schuck: Thank you, Jerry and welcome, everyone. In Q3, we delivered another quarter of accelerating growth with both strong operating margins and strong free cash flow generation. The team is executing well across every area of the business. Adoption of new products and new features and functionality is exceeding expectations. International growth is accelerating, our enterprise investment continues to yield results. ZoomInfo is increasingly becoming known as a category-defining company by delivering end-to-end success for go-to-market teams worldwide. This was our best ever third quarter for new customer addition. And the leading indicators are pointing to meaningfully higher annual net dollar retention rates with expected improvements across customers of all sizes. In the quarter, we delivered GAAP revenue of $198 million, representing 60% year-over-year growth, up from 57% in Q2 and up 12% sequentially when adjusted for the number of days in the quarter. We delivered unlevered free cash flow of $73 million, up 23% year-over-year. We closed the quarter with more than 25,000 customers, of which more than 1,250 customers have greater than $100,000 in ACV. The number of customers with more than $100,000 in ACV grew more than 70% year-over-year. Our investments internationally continue to be a success story. We materially grew our data coverage in Europe and expanded the number of reps targeting the international opportunity. We're in the process of opening an office in the U.K. and have already hired our first team of sales reps that will be based there. Because of our highly differentiated offering, demand for our platform is high, driving year-over-year international revenue growth greater than 80% in the quarter, with international representing more than 11% of our overall business or over $80 million on an annualized basis. Based on these results, we're again raising our financial guidance for the year. In the third quarter, we continued to expand our modern go-to-market platform and drove further innovation and integration across the intelligence, engagement and orchestration layers of the ZoomInfo platform. Prospects and customers tell us they want a one-stop shop a unified platform and they want their investments across the sales tech stack to be integrated. This further reinforces the competitive moat that we are building with our unified platform. Starting with the intelligence layer, we continue to grow our contact and company automation. We now have information on more than 150 million business professionals and 100 million companies. Internationally, we grew our company and contact data coverage in Europe by approximately 80% this past year and we now cover nearly all businesses with more than 100 employees in Europe. We have expanded our health care data asset, adding nearly 0.5 million new contacts and enriching 750,000 others with supplemental contact information. We have also innovated with new data privacy features. Customers can now exclude contact data from certain geographies and create a public presence flag to highlight data that is available in the public domain. And we've built technology to support preemptive opt-outs for contacts not yet in the ZoomInfo platform. These enhancements enable our customers to control and customize their data experience in ZoomInfo and further reinforce why our continued investment in privacy is a competitive differentiator. During the quarter, our privacy team engaged with dozens of multinational customers and prospects as subject matter experts on worldwide data use and privacy through guidance from that world-class privacy team, Fortune 1000 network operations and security company rolled out our global data passport by leveraging the robust set of data privacy controls offered within our platform, including master suppression functionality and region-by-region granular privacy filtering capabilities. Additionally, a fast-growing internationally based payments processor brought ZoomInfo on in 2020 to fuel their expansion into North America. After a year of success with their North America-based teams, our privacy team began engaging with the company's data protection officer who had more than 15 years of experience navigating data privacy regulations across more than 120 countries. Our team was able to walk through our global privacy notice framework, historical opt out and notice metrics and developments -- and developments in platform-native controls that would assist in their compliance practices, including our prebuilt do not call screening and integrated master suppression filtering. The interactions with our private teams and the innovation we brought to our industry around privacy controls gave them the confidence to add ZoomInfo's global data passport across their international team. On the engagement layer of the ZoomInfo platform, we've continued to invest and engage our sales automation solution. We enhanced e-mail analytics, enabling sellers to optimize their e-mail content, timing and audiences to improve response rates and added an intelligent recommendations engine to deliver insights on the personas, most likely to engage based on prospecting history. These recommendations are based on a combination of data from ZoomInfo and response activity from engage interactions with a seamless integration to easily import look-a-like audiences that maximize future engagement rates. With these significant product improvements, in Q3, we added the most ACV ever for Engage. Since it's introduction in Q3 of last year, we now have more than 2,000 customers leveraging Engage to drive automation and efficiency in their sales motions. As an example, in the quarter, we closed a 6-figure enterprise deal with a Swiss-based pharmaceutical company, where nearly 50% of the ACV came from the intelligence layer and our global data passport and the other 50% came from the engagement layer. In July, we acquired Chorus.ai, a leader in conversation intelligence, a market which we estimate to be an $18 billion opportunity. In addition to quickly integrating Chorus into the ZoomInfo platform, we are aggressively investing behind conversation intelligence, driving new and innovative capabilities to help our customers succeed and further drive our technology advantage. We plan to grow headcount on the Chorus product materially over the next year. Since the acquisition, we've rolled out a number of significant enhancements to the Chorus product. Chorus customers who use Salesforce and Engage can now automatically save call recordings, transcripts and insights to their Salesforce CRM accounts. We also added a Chorus tab inside ZoomInfo, where go-to-market teams can find their interaction history, video call recordings, e-mail interactions, a contact list, including those at the company with whom they had interactions with, the ability to filter those interactions based on quick signals, keywords and trackers and momentum insights where a detailed summary view of call and email activity indicates how interactions are progressing at each account. In September, we launched the next iteration of Chorus' revenue intelligence capabilities which gives users a clear view of momentum across all deals in their pipeline. Sales leaders, managers and reps all now have the tools that they need to analyze and identify opportunities or risks in the pipeline, enabling our customers to close more business and efficiently drive growth. We also launched the native Chorus app for Zoom Video Communications. The new app brings Chorus directly into the Zoom meeting experience, enabling improved tagging, note-taking direct syncing with Salesforce and the ability for sales reps to immediately activate specialists, overlay sales support and others to join a call in real time. All of this investment has knock on unnoticed. Chorus was recently recognized as a strong performer in the Q4 2021 Forrester Wave Conversation Intelligence. Chorus was called out for having differentiated features and standing out above the rest and received the highest possible scores in eight categories, including sales performance measurement, sales modeling and forecasting, post-call coaching, product and technology innovation, road map and others. Chorus continues to win other industry accolades as well. It was named the top-rated product and software reviews 2021, conversation intelligence data quadrant, recognized by G2 on seven of their 2021 Best Software Awards list and landed on TrustRadius' 2021 top-rated awards list for conversation intelligence. In addition to all of the development and integration work on conversation intelligence, we also integrated ZoomInfo Chat Inbox from our Q2 acquisition of Incent.ai. SPRs can now be notified and engaged directly with high-priority website visitors and live chat experiences within the ZoomInfo platform. We surround that in-app chat experience with company information, news, scooped and buying committee data alongside the chat conversations. The ZoomInfo chat application is now supported as a Slack marketplace application, enabling sales teams to leverage robust ZoomInfo data directly inside Slack as they engage with prospects. In ZoomInfo recruiter, we added a number of new features to improve the user experience and open up the platform for more integrations. While still early, we more than doubled the number of recruiter customers from Q2 2021. From a future perspective, we added recruiter pipeline management, allowing users to track and manage candidates through pipeline stages for the specific hiring projects they are working on and enabling better integration with application -- with applicant tracking systems. Through contributions from our innovation and data science teams, we added a likely to listen score that uses a variety of ZoomInfo data to help recruiters find candidates that are statistically more likely to be open to changing jobs. We also added a new integration with PC Recruiter which allows talent acquisition professionals to add candidates to their candidate pipeline. Within the orchestration layer, we added significant capabilities through our acquisition of the leading data orchestration platform, RingLead. RingLead ingests cleans, enhances segments, scores and routes customers' data then provide a flexible, customizable and rules-driven approach to integrating this data into a company system of record. In Q3, we launched our first integration between RingLead and ZoomInfo. Now when customers export records from ZoomInfo to Salesforce, they can first flow through RingLead data orchestration workflows ensuring the duplication, record normalization and routing take place before the newly added records or passed over to their CRM. With our continued investment in data orchestration and routing and triggers that initiate workflow that drive go-to-market motions, more and more customers are realizing the value of truly automating their go-to-market motions based on insight surface through ZoomInfo. In the third quarter alone, saw 25% sequential growth in this level of automation from our customers through increased adoption of our workflow functionality. During the quarter, we surpassed 25,000 customers and we now have more than 1,250 customers with greater than 100,000 in ACV. These customers now represent more than 40% of our overall ACV with the ACV from not cohort growing by more than 85% year-over-year. Growth is coming both from expansions of existing customers and landing new customers above the 100,000 threshold, with customers taking up more and more products at the point of initial sale. During the quarter, we landed multiple million-dollar-plus TCV transactions with new customers. We continue to have increasing functionality that is driving success with our largest customers, driving ASP growth in that cohort and reinforcing the increasingly central role we are playing in an organization sales technology stack. One recent customer the project management and collaboration space highlighted the power of our data and data orchestration platform. Their investment in ZoomInfo data as a service solutions built a foundation at the company, while they also invested in RingLead, Cleanse and multivendor Enrich to automate lead flow and remove duplicate contacts. The customer wanted to understand as much as possible about a prospect at the beginning of the lead cycle and the speed and accuracy of the ZoomInfo platform proved critical to increasing their speed to lead, driving increased conversion rates and more revenue for their organization. A client in the on-demand delivery service industry is making full use of our platform in every aspect of their business. Aside from using our intelligence layer to identify their next best customers, from our orchestration layer, they've also implemented our full complete and enrichment solutions to increase website conversions and keep their customer and prospect data up-to-date and accurate. This customer didn't stop at the top of the funnel, they've also rolled out Chorus to their sales team to drive real-time coaching and competitive analytics from every digital interaction they have with customers and prospects. In order for us to drive success across the organization, we need a world-class team. The combination of our strong culture which drives all of us to improve ourselves 1% every day combined with the growing investments in recruiting, in talent acquisition has allowed us to attract, hire and retain top talent at all levels of the organization. ZoomInfo has been certified as a Great Place To Work for five consecutive years. We've also won awards for being a Best Place to Work for Millennials, won 11 comparably awards in 2021 and were recognized by the Mass TLC as a top company for diversity. There is a global fight for talent and we win more than our fair share because of the culture of success we've created, our continuing investment in our people to create long-term career development opportunities and our focus on diversity and inclusion. As a result, in the third quarter alone, we hired more than 500 employees and we continue to hire aggressively to support our long-term growth. In closing, Q3 was an exceptional quarter. We delivered great financial results or again raising our outlook for the year and continue to build on our substantial competitive moat by investing in all three layers of our integrated platform: the intelligence layer, the orchestration layer and the engagement layer. The market opportunity is as big as ever. And as I indicated earlier, we continue to build a category-defining company by delivering end-to-end success for go-to-market teams worldwide. With that, I'll hand it over to our Chief Financial Officer, Cameron Hyzer.
Cameron Hyzer: Thanks, Henry. As a result of the broad-based strength that we are seeing, we delivered results ahead of expectations, leading us to again raise our financial guidance for the year. We now expect to deliver revenue growth of 54% in 2021 with organic growth of 50% at the midpoint of our revenue guidance. And we are increasing our adjusted operating income guidance to $299 million to $301 million, up from $291 million to $295 million. We are excited about the organic growth in the business that we continue to deliver, while at the same time, meeting and exceeding expectations for Chorus and our other recent acquisitions. In Q3, we delivered GAAP revenue of $198 million. This exceeded our $182 million to $184 million revenue guidance range and represents 60% year-over-year growth, up from 57% growth in the prior quarter. The acceleration in revenue growth this quarter was underpinned by organic revenue growth of 54% which excludes the contribution from acquired products during the first 12 months post-acquisition. We continue to see success internationally in the enterprise and with our newly launched features and functionality, all contributing to help drive the acceleration in revenue growth. International revenue growth accelerated to greater than 80% year-over-year. Our international business now generates over $80 million on an annualized basis. We ended the quarter with more than 25,000 total customers and with more than 1,250 customers with more than $100,000 in ACV which is up more than 70% year-over-year. Customers with more than $100,000 in ACV now represent more than 40% of our subscription revenue and the ACV contributed by these customers grew more than 85% relative to Q3 2020. The third quarter, adjusted operating income was $78 million. This exceeded our revenue guidance range of $72 million to $74 million and represents an adjusted operating income margin of 39%. The small margin performance, combined with 54% organic revenue growth is consistent with the growth and profitability framework that we set out at our recent Analyst Day. This increased investment in the business is intentional and is driven by the recent acquisitions and continued investments in growth. We believe that our philosophy of maintaining cost of revenue, our cost of service, R&D and G&A as a percentage of combined revenue in the low 30s on an annual basis, then managing sales and marketing costs as a percentage of revenue based on the growth that we drive will enable us to continue to deliver sustainable growth over the long term, accompanied by a leading profitability profile. As Henry indicated, we continue to invest in growing our team, ending the quarter with over 2,500 employees, up from fewer than 1,300 employees at the end of May 2020, just before our IPO. We expect to continue to invest across the entire organization with particular focus on product and engineering investments and the expansion of sales capacity to drive sustained growth. Turning to the balance sheet and cash flow. We ended the quarter with $239 million in cash, cash equivalents and short-term investments. In the third quarter, we generated operating cash flows of $46 million which included approximately $14 million of interest payments in the quarter. Unlevered free cash flow was $73 million for the quarter, 93% of adjusted operating income. We continue to expect that on an annual basis, unlevered free cash flow conversion will be in the range of 100% to 110% as a percentage of adjusted operating income. With respect to liabilities and future performance obligations, unearned revenue at the end of the quarter was $288 million and remaining performance obligations, or RPO, were $712 million, of which $552 million are expected to be delivered in the next 12 months. As I've outlined in the past, calculated billings and RPO can be imprecise metrics to assess in-period activity and forward momentum. As a result, we focus on days adjusted sequential revenue growth. We delivered 12% days adjusted sequential revenue growth in the third quarter, continuing the strong momentum we achieved in the first half of the year. The strong sequential revenue growth gives us confidence again to raise our expectations for the year. As of September 5, we carried $1.25 billion in gross debt at a net leverage ratio of 3.4x trailing 12 months adjusted EBITDA and 2.6x trailing 12 months cash EBITDA which is defined as consolidated EBITDA in our credit agreements. In the third quarter, we acquired Chorus.ai and RingLead for a combined $665 million. Concurrent with the acquisition of Chorus, we issued $300 million in add-on senior notes due February 2029 and $200 million in add-on term loan B with a maturity of February 2026. At the time of the announcement, S&P upgraded our corporate debt rating to BB-, along with upgrading our first lien securities to BB and upgrading our bonds to B. Moody's also upgraded the issue level rating on the first lien to BA2. With respect to the entity reorganization that we announced in September, I am pleased to say that we successfully completed the transaction last week. -- eliminating the UPC and multi-class voting structure which resulted in all shareholders holding the same cost of stock with the same economic and voting interest. Giving all shareholders one vote per share was an important next step in our evolution as a public company. In addition to demonstrating good corporate governance that streamlines our operations, reduces complexity and is expected to enable the company to become eligible for inclusion in relevant stock indices. Prior to the conversion to a single class of common stock and eliminating the Up-C structure, our pre-IPO holders converted the majority of their shares to Class A shares in a taxable event, creating a step-up in basis. The company benefits from that step-up in basis through the tax receivable agreement. As a result, the company currently has a deferred tax asset of $4 billion and a tax receivable agreement liability of approximately $3 billion which will be payable over time upon realization of the deferred tax asset. Additionally, we recorded GAAP tax expense of $42 million in the quarter, the majority of which related to a noncash basis shift resulting from the entity simplification and reorganizations executed in Q3. With that, I will provide our outlook for the fourth quarter and updated outlook for the full year 2021. For Q4, we expect GAAP revenue in the range of $206 million to $208 million and adjusted operating income in the range of $79 million to $81 million. Non-GAAP net income is expected to be in the range of $0.12 to $0.13 per share. Our Q4 guidance implies year-over-year GAAP revenue growth of 48% at the midpoint and an adjusted operating income margin of 39%. We are updating our full year 2021 guidance as follows: we now expect GAAP revenue in the range of $731 million to $733 million, an increase from our prior guidance of $703 million to $707 million; and adjusted operating income in the range of $299 million to $301 million, an increase from our prior guidance of $291 million to $295 million. We expect non-GAAP net income in the range of $0.51 to $0.52 per share, up from our prior guidance of $0.50 to $0.51 per share, both amounts based on 405 million diluted weighted shares outstanding. For unlevered free cash flow, we expect a range of $320 million to $325 million, an increase from our prior guidance of $300 million to $305 million. Our full year guidance implies 54% GAAP revenue growth which compares to our prior revenue guidance of 48% and implies organic revenue growth of 50%. With that, let me turn it over to the operator to open up the call for questions.
Operator: [Operator Instructions] Your first question is from Stan Zlotsky of Morgan Stanley.
Stan Zlotsky: Perfect. Thank you so much guys and congratulations on a very strong quarter. A couple of questions from my end, a very high level, right? The international business is certainly doing really well, a very impressive 80% growth that you guys just put up in the quarter. But from a data perspective, right, could you help us with kind of the relative size of your U.S. data set versus international data set? And is there anything different as far as building out those data sets, the U.S. data set versus the international data sets that makes the process more just challenging or perhaps it's just different as to how you build those data sets?
Henry Schuck: Stan, thanks for the question. I think, first, you saw that we invested -- two quarters ago, we said we were going to invest behind the international offering. This quarter, we announced that we grew our data asset in Europe by over 80% year-to-date and feel really good about the continuing investments we're putting behind that. I would say there are unique challenges when putting together an international data set. Obviously, we don't have to worry about translation or multi-languages or multi-currencies in the United States or North America really. And then internationally, we do have to be concerned with those aspects. So we've built translation layers. We built currency converters. We also have tapped into the different international data sets, government data sets that provide high-level financial metrics for all companies, public and private, in different markets. And so it's a unique challenge and how it's different than North America but from a relative size perspective, I would tell you that Europe is close -- Europe is close to 90% of what you have from a coverage perspective in the United States. Over -- we have nearly every business with over 100 employees in Europe and that's where we're really launching the international offering and we continue to build rest of the world as well.
Stan Zlotsky: Got it, perfect. And Cameron, a quick follow-up for you. You mentioned the 50% growth target for the full year on an organic basis? And then also just a 54% growth in Q3 on revenue. If we look at billings, can you give us a rough sense for if there was any meaningful write-downs that needed to happen on Chorus.ai or RingLead? And what kind of inorganic impact you saw to Q3 billings from those two acquisitions?
Cameron Hyzer: So the acquisitions added roughly $10 million in unearned revenue at the acquisition date. As I'm sure I've stated before, in our mind, unearned revenue and RPO metrics that can be derived from those aren't the cleanest metrics that people can use to assess in-period activity. So we're much more focused on the sequential revenue growth. But overall, we aren't going to be breaking out billings from customers from the businesses post-acquisition, just given that we're already bundling and have integrated those businesses. And the difference that you see in the noise is probably less than the variability that you'd see from the just metrics themselves.
Stan Zlotsky: Perfect. Very helpful. Thank you.
Operator: The next question is from Siti Panigrahi with Mizuho.
Siti Panigrahi: Thanks for taking my question. It's great to see this strength in the enterprise side, mainly the $100,000 plus ACV customer. So help us understand what's driving? Is it more on the user side? Or is it more you're able to now cross-sell more and more products into that? Yes, any color would be helpful.
Henry Schuck: Yes. I think we see growth in both of those cities. We see growth from a user and seat expansion across the enterprise. And that just fits into our land and expand motion where we can land in one sort of business unit of an enterprise customer and then expand as that business unit see success. And then the other is, we are selling an expanding product set into the enterprise. And so where we may land with the intelligence layer, we end up selling the engagement layer in or we sell our chat functionality, our engage functionality, the Chorus functionality. We sell our DAS offering which is an outgrowth of our EverString acquisition last year into the enterprise in an accelerated fashion. And so you really see growth in that enterprise cohort coming from both new products that we're able to cross-sell in as well as new user seats and expansion within that customer base.
Siti Panigrahi: Okay, that's great color. And then on the RingLead acquisition, help us understand a bit, is it about improving your data quality? Or are you able to cross-sell into your customer base in terms of improving data quality? And what kind of ASP or ACV, we would expect from RingLead?
Henry Schuck: So from a product perspective, that is a product that we're cross-selling. It's not designed for our own data quality measures. We've built number of tools and dashboards that track data. Last call, we talked about from a data accuracy perspective, we look at 138 different dashboards every day to make sure our data accuracy is continuing to improve. RingLead is a tool that sits on the customer base and allow the customer to cleanse, normalize, enrich, route and score their leads that are coming through their different systems. From an ASP perspective?
Cameron Hyzer: Yes. So from an ASP perspective, it very much depends on the size of the customer and their relative usage of data. So the pricing for regulator is much more heavily geared towards the amount of data that they're orchestrating for a customer. Whereas, ZoomInfo pricing can be geared towards both the data that they're integrating into their systems but also on seats and other pieces of functionality. So when you look at the RingLead customers that were overlapping with ZoomInfo customers, some of them could be as low as 10% of the ZoomInfo ASP. Some customers can be paying even more for RingLead than they are for ZoomInfo. But on average, overall, the ASP lift is around 20%.
Siti Panigrahi: That's great. Thanks, guys.
Operator: Your next question is from Mark Murphy with JPMorgan.
Mark Murphy: Congrats on a very strong quarter. So Henry, you mentioned in your script the global fight for talent. And I'm wondering if you could sense that the shortage of skilled labor in the U.S. and this great resignation, we're experiencing -- is impacting your customers' own ability to fill open sales roles? And then perhaps if they can't, it's maybe causing them to digitize their go-to-market motions even more rapidly. But basically, I'm just wondering if you're able to see ZoomInfo being viewed as a solution actually for some of the labor shortages out there?
Henry Schuck: Yes. Absolutely, Mark. I mean, I think first, within our enterprise customer base, there the majority of the opportunity is still an expansion of user seats. So even if they're struggling to hire at some place -- in some place in the enterprise, there's still a tremendous white space opportunity for us within the enterprise. I think where we see the opportunity in the great reshuffle or the great resignation is in the ZoomInfo recruiter product, both from our ability to sell it in to customers who are experiencing that struggle to hire. We think we've built the world's best passive candidate data asset and have built engagement automation around it and technical and digital tools to help recruiters identify and source candidates in a digital way. So we feel really good about that offering and the growth that we saw there in the quarter and the continuing growth that we see in the future. If you use Engage as an analogy here, we rolled out Engage in Q3 of 2020. We now have over 2,000 customers on the Engage platform. Any point solution provider in the space took nearly a decade to get to that same customer count and we feel very similarly about recruiter as we feel about Engage and the momentum that we're seeing there. And so I think it serves us well on the ZoomInfo recruiter product, for sure.
Mark Murphy: You've done that very rapidly, no doubt. Cameron or perhaps also for Henry. My other question is just how many of your customers do you think are reaching a conclusion that ZoomInfo is as important or perhaps more important than their CRM system that they've had for a long time, such that maybe you can envision ZoomInfo becoming their number one line item in their sales and marketing tech stack, I think that was a topic you had touched on last quarter.
Henry Schuck: I think, Mark, we still envision the world as ZoomInfo is an intelligence and engagement solution that can help you get more out of your CRM investment. And we're never fighting for dollars against CRM solutions today. We're really trying to convert those systems of record to true systems of insights. And I think when customers are using ZoomInfo alongside their CRM and embedding ZoomInfo inside of their CRM, whether that be Salesforce or HubSpot or any number of other CRMs out there, they are getting more value out of those platforms. Their users are engaging with those platforms in more meaningful ways and they're able to drive the insights that they've always wanted out of those platforms.
Mark Murphy: Excellent thank you very much.
Operator: The next question is from Michael Turrin with Wells Fargo Securities.
Michael Turrin: Thanks. Good afternoon. Helpful details around the organic growth profile, Cameron, is there anything you're able to provide just to help us think through the 39% margin and how much is impacted from M&A versus some of the broader investments you referenced driving towards those longer-term targets?
Henry Schuck: Sure. Great question. So when we announced the Chorus acquisition, obviously, there's significant growth opportunity there as well as investment that's required. So the acquisition itself took us from, call it, low 40s down to $39 million. I think as we've talked about, Chorus' prior to the acquisition, was growing more than 100% annually, we've actually been able to accelerate that already through the use of our go-to-market team and feel really confident that we'll be able to further push that acceleration in the coming quarters. So we're excited about that growth. And as we discussed before, we're still on track to make it accretive to operating income in the second half of 2020.
Michael Turrin: That's super helpful. Just a follow-on on that point. Just Henry also referenced investing heavily into Chorus. I'm just wondering how much of that might be driven by some of the initial observations and customer conversations you're having now that, that is a part of the ZoomInfo product portfolio versus just aligned with plans you had behind this product set prior to acquisition?
Cameron Hyzer: Michael, I think the first thing I would say is, we're obviously listening to customers and helping the -- and listening to them to help drive our product road map in the future. So those are ongoing conversations that, by the way, are made significantly easier with Chorus the background of all of those calls. But what I would tell you is the investment behind Chorus is largely in line with what we anticipated when we made the acquisition which is driven by the fact that we're seeing tremendous white space in the conversation intelligence market. When we're talking to customers about conversation intelligence, it's a largely evangelistic sale. It's technology that they didn't know what's available to them or available to go-to-market teams. And we see a big opportunity to continue to drive growth in nation across that product set.
Michael Turrin: That's great. Thank you very much.
Operator: Your next question is from Terry Tillman with Truist.
Joe Meares: Hey guys, this is Joe Meares on for Terry. At your Analyst Day, you noted your intention to add 30% plus sales capacity annually. I'm acknowledging you guys, I think you mentioned you made 500 hires and third quarter. How are you tracking this target thus far in 2021? And how do you expect to shake out for the full year?
Henry Schuck: So we continue to be very focused on continuing to add sales and marketing capacity. Yes, I think that overall goal is probably over the long term, I'd say, in 2021, we're ahead of that pace and expect to be -- continue to be ahead of that pace so long as we have the really solid opportunities to invest in. And I think largely driven by continuing to have a very large market, where, again, not only is the conversation intelligence space but also the overall intelligence space and the orchestration and engagement platforms are somewhat evangelistic sale. We continue to find great people that can reach out to those customers and demonstrate the value to them. So we're excited about the pace and continuing to see real performance out of that team as well.
Joe Meares: Thank you so much.
Operator: Your next question is from Nikolay Beliov with Goldman Sachs.
Nikolay Beliov: Hi, thanks for taking my question. You specifically called out today the increase in the depth of the health care data set. Can you please double-click on this and specifically call out what type of data in the health care vertical you're collecting and your exposure to the health care vertical today and in general, your plans for verticalizing what to date has been a pretty broad horizontal solution?
Henry Schuck: Nikolay, I think where we're focused on health care is at that prospecting layer, so where customers are engaging with data to identify their next best customers and then have conversations and engagement with them. And so we believe today, we cover over 90% of the doctors in the United States within our platform and we continue to drive expansion within that data asset and surrounding that data asset with contact information that our different health care clients can use to engage with those decision-makers but it's primarily around prospecting and engagement with that vertical.
Nikolay Beliov: Got it. And Cameron, a quick one for you. The tax receivable that you mentioned now that the as structure has been dissolved, how should investors model that tax receivable and the impact on free cash flow is going forward?
Cameron Hyzer: So the way that I would consider modeling the tax receivable agreement is largely based on our non-GAAP tax rate. So at this point, we'll be continuing to make payments to our pre-IPO holders that are generated by the savings versus taxes that we would have otherwise paid. But based on the way that accounting, the GAAP accounting works, those payments will still run through our non-GAAP tax rate. And so I would think about those as just being part of the model in terms of that non-GAAP tax rate going forward.
Nikolay Beliov: Okay. So it's monthly incremental. Got it. Thank you so much.
Cameron Hyzer: Yes.
Operator: Our next question is from Alex Zukin with Wolfe Research.
Alex Zukin: Hey, guys. Thanks for taking the questions. Henry, maybe just for you. You mentioned first a couple of the large multimillion dollar deals you signed in the quarter, put that into context for us either versus prior quarters or versus prior third quarters. And also give us a little bit of scope in terms of the pipeline for those transactions going into 4Q? And maybe just how those deals were driven? Is this more of an expansion of the kind of core sales intelligence SKU to more sales reps globally? Are you seeing actual cross-sell with some of the other products you've talked about? It would be helpful to walk through that a little bit.
Henry Schuck: Yes. Thanks, Alex. First, those deals, those are on the new business side. So we're landing larger and our pipeline for landing larger accounts on the land side is expanding a couple of quarters ago. We made the decision to specifically carve out some of our more tenured reps to manage the larger enterprise opportunities that were coming in the lead funnel. And those transactions, they are buying more than just the core intelligence layer. They're often buying the engagement layer. They are buying data as a service. They're buying enrichment inside of their CRM and marketing automation systems, many are buying Engage as a sales automation solution. And so we do have a much broader set of solutions to sell at the point of new business sale, we're accelerating that and we see a large pipeline -- we're building a large pipeline of larger deals for the future as well.
Alex Zukin: Got it. That's super helpful. And then, I guess if we put into context some of the enterprise metrics or those customers over $100,000, the sequential add was pretty staggering, I would say, in that metric as well as, I think, some of the outperformance you saw versus your own guidance for Chorus which came in and almost triple the amount you thought it would. Is there anything to read into at least early on in terms of the Chorus traction within those larger ACV accounts. And I guess to the extent that Michael touched on earlier with the incremental investment in sales and marketing on Chorus being leveled up, how should we think about this kind of balance of sales and marketing spend in general going forward? Do we think it will be -- did this new level is kind of the right level, this high 20s? Could it go higher? And what's the way that you ultimately make that case for yourself internally?
Henry Schuck: I'm going to let Cameron answer the bulk of those questions. The one that I would tell you is on the core side, from a go-to-market perspective, our focus has been largely on unlocking our account management team against our existing customer base. For Chorus and we spent a large part of the quarter, enabling our account managers, setting up demo environment, teaching them the value proposition and how to go to market with Chorus and then creating the connectivity back from the product organization to the go-to-market organizations to really drive growth across our customer base. And so we really do anticipate leveraging our account management team across our 25,000 customers to drive the Chorus growth.
Cameron Hyzer: And then -- yes, I think it's worth [indiscernible] quarter relative to our guidance. It was not solely driven by Chorus. While Chorus did outperform, we had we had stated that we thought that they were going to contribute about $3 million. It was over $3 million but certainly, most of the outperformance was from other parts of the business as we had really strong performance across the board. I do think we're excited about the traction that we're seeing, both with large customers and small customers and everyone in between. And we'll continue to invest into that. As we think about sales and marketing growth, I think we're continuing to invest into our sales and marketing capacity but we're always focused on making sure that the investments that we make have solid, efficient returns. So getting well above that kind of mid- to high-20s range would require us to really grow that team faster than revenue growth. And at this point, where we're growing revenue on an organic basis in the kind of low to mid-50s that's probably more growth than I'd expect for the sales and market -- and getting up into the 30s is probably faster than I'd expect in the short term.
Alex Zukin: Perfect. Thanks so much, guys. Congrats again on a great quarter.
Operator: Your next question is from Brent Bracelin with Piper Sandler.
Brent Bracelin: Good afternoon. I guess, Henry, I wanted to go back to Engage a little bit. It looks like that product is approaching close to 10% logo penetration, you gave one example where it has the potential to 2x revenue for that 6-figure deal just versus just the intelligence layer? What's the potential cross sell? Do you think half of the customers could actually embrace Engage? Just give us a little view into the future here given you had such good success early on here, where could that go longer term?
Henry Schuck: Thanks, Brent. I think, first of all, I would tell you is, we expect Engage is a solution that can spread across our entire customer base, whether you're an enterprise customer or you're an SMB customer, once you invest in our intelligence layer, you want the ability to deploy and activate that intelligence layer in an automated way and Engage provides you that capability. What I would tell you is, the price points or the ASPs, they obviously are driven by user seats, primarily. And so what you would see is in our SMB customers, those ASPs are going to be a lot smaller than what you'd see in a large 6-figure enterprise customer where there are numerous additional seats that it's spread out across. And so that's what you would see from an ASP perspective.
Brent Bracelin: Got it. So to the extent that you do have broader success with Engage that could help with the enterprise momentum makes sense there. I guess, Cameron, for you, just a quick clarification. I think in the past, you talked about servicing the international market from kind of your East Coast regions, just given the time delta there, the momentum you had in the quarter, I think you talked about over 80% international growth. Was that all kind of driven by the existing teams? Or did you actually have initial contribution from that first U.K. team driving the further acceleration in international this quarter?
Cameron Hyzer: That was all driven by our East Coast sales teams. And so as we bring the U.K. sales team online, we expect a meaningful contribution from them as well.
Brent Bracelin: Perfect, that's all I had. Thank you.
Operator: Your next question is from Raimo Lenschow with Barclays.
Raimo Lenschow: Thanks for squeezing me in. Henry, on the -- if you think about the offering that you have now with Chorus included [ph] -- how is the conversation with the clients are changing? And does it kind of maybe -- if you think more longer term require a change on the go-to-market, where at the moment, you still have a lot of like inside sales but you're going to become a larger and larger kind of purchasing item if the strategy continues to work. So how do you think about the evolution of your go-to-market?
Henry Schuck: Raimo, I think, look, today, we're so -- we're still very, very early in the transition of our customers' perspective, from us being a company and contact data provider to being a true end-to-end go-to-market platform. And so in a lot of our conversations today, we're really just educating our customers on all of the different ways that we can help their go-to-market motion. And so inevitably, when we get in a conversation about activating the data that they purchased, we're talking about Engage. And we're talking about driving traffic to their websites, we are talking about using chat and form complete to increase website conversions. We're talking about our websites product to de-anonymize that website traffic so that they can use our workflows product to create automated go-to-market motion. And so, it's really educating the customer on what a truly digital go-to-market motion can look like. And I think what we've had a lot of success doing is we really have built out a team of solution salespeople here at ZoomInfo, who really over the last 18 months, are able to sit down with our large enterprise clients and solution in different ways that we can help them solve problems and the different solutions within ZoomInfo's stack that we can bring to bear against those problems. And so there is more sophisticated selling happening at the enterprise level and we continue to invest behind the resources to allow us to be able to do that.
Raimo Lenschow: Okay, perfect. Thank you.
Operator: Your next question is from Parker Lane with Stifel.
Parker Lane: Yeah, hi. Thanks for taking my question. Your Salesforce and Microsoft Dynamics integrations have been really successful on extending the value of the platform. If we think about the whole landscape of sales and marketing software tools out there, I know you had a slide in the IR presentation about this. How important is the debt level of deep integration to all these other platforms? Or is it going to be a situation where maybe ZoomInfo invest to foster really strong relationships with a handful of those most widely used sales and marketing tools?
Henry Schuck: Yes. Great question. I think where we see big opportunity across our customer base, we'll invest in building stronger integrations with the different platforms we see our customers leveraging. So you saw a couple of years ago, we significantly enhanced our relationship with HubSpot and built a really meaningful integration back into HubSpot through our HubSpot enrichment product. I think the other place where we're seeing a lot of sophisticated go-to-market teams going is having a data store and having all of their data from all of their different systems within a unique data store like Snowflake or an Amazon or an Azure. And so building solutions that sit alongside the places, where all of the data from all of the systems live, will also be a strategic direction for us so that we can do simple enrichment and drive our insights within those different systems.
Parker Lane: Thank you, guys. Thanks again.
Operator: Next question is from Taylor McGinnis with UBS.
Taylor McGinnis: Hi, thanks so much for taking my questions and congrats on the quarter. So the new logo activity has been impressive. And you've talked a lot about land being larger and that being driven by Engage and Enrich and other pieces. So can you maybe talk about the contribution from those pieces in these larger lands? And how much of an uplift you guys are seeing from those relative to typical land a year ago? And then maybe as a follow-on to that, I know you have a lot of new products with Chorus and others. So maybe any early reads there would be interesting, too?
Henry Schuck: Yes. Thanks, Taylor. As we think about the new lands for Engage which tends to be one of the more popular features that people are taking at that initial sale. It tends to be, call it, teens-ish uplift in terms of the incremental ASP that we get but very much depends on how big of a customer it is and where their seats are kind of coming from. I think for things like our Enrich products, that tends to be something that -- while people do take it in the initial sale, it's actually more often taken as part of the expansion. And certainly, for Chorus and RingLead it's probably a little too early just to focus on the lands themselves. We've seen a lot of momentum within our account management teams. But RingLead is very exciting for larger customers because customers that have a variety of different data sources that they're trying to rationalize and in some cases, bring in ZoomInfo to help drive their motion. That's a great place where that complexity gets simplified through the RingLead solution and can help us drive that initial sale to begin with.
Taylor McGinnis: Great. Thank you so much.
Operator: Our next question is from DJ Hynes with Canaccord.
DJ Hynes: Hey Henry. Hey Cameron. Congrats on great results. Just one for me for Henry. I want to ask about sales modeling and forecasting. It was mentioned in the script is one of the areas where Chorus scored well. It doesn't really fall into your core pillars of intelligence, engagement orchestration. So I'm wondering if there's a sales management layer there that could be built out and how you think about that?
Henry Schuck: I think what you're seeing is filled on the Chorus side around the momentum product, specifically, is the ability to look at all of the opportunities that customer have in play and then use Chorus analytics to flag opportunities that have the forecasted to close in the quarter but have little engagement from an e-mail or call or meeting perspective that are missing key people from the buying committees who -- that are opportunities that have never gotten above a Director level. And so we're using all of those analytics really to inform the forecast and to flag anomalies across the opportunities that are forecasted to close. We see a good opportunity there in leveraging both the tremendous amount of digital interaction data that's feeding off of Chorus and the ZoomInfo intelligence layer data to flag anomalies across the opportunities.
DJ Hynes: Yes. Okay, makes perfect sense Thank you.
Operator: Your next question is from Rishi Jaluria with RBC.
Rishi Jaluria: Hey, guys. Thanks for taking my question. So much and really nice continued strong results in this environment. I wanted to just go back to the commentary around the kind of tough hiring environment. You talked about how recruiting can help companies in this sort of environment. Wanted to go one step further. And what do you think would be kind of the appetite to go more deep into training? Because you're already doing a little bit of that with Chorus, right, to help close that skills gap to help make better existing employees more productive and really just better overall. Do you think that would be an area that you'd explore going deeper into either via acquisition or building something out yourself?
Henry Schuck: Rishi, thank you for the question. I think -- look, what we focus on from an M&A perspective, our tools and solutions and software that sales, marketing and recruiting professionals are using every day in their workflow. And if one of those solutions can be enhanced through our intelligence layer and our data assets, those are really interesting opportunities for us from an M&A perspective. I think learning and training is an interesting area. You're right that within Chorus, we've built an infrastructure that allows you to save best practices playlist and key moments in calls that significantly reduce ramp time. MongoDB saw a 40% decrease in ramp time of their account executives when they brought Chorus on. So we think we have a tremendous opportunity to really drive learnings across an organization through Chorus but no immediate plans to go really deep in the training and learning space. It looks like our next question is with Pat at JMP. Jenny, if you can open up path line, please.
Operator: The line is open, sir.
Henry Schuck: Great.
Patrick Walravens: Great, thank you. Can you guys hear me, okay?
Henry Schuck: Yes, Pat.
Patrick Walravens: Hi Henry, congratulations. Amazing.
Henry Schuck: Thank you.
Patrick Walravens: So we're getting to the end of the call and I'm hoping you can just sort of explain to us where this is all going, right? So we have you guys at a $16 billion market cap. There's Dong that just raised $7 billion and Outreach at $4 billion. And Gartner's laying out this whole revenue operations vision. Is that where the world is going? What do you see this category being a couple of years out? And who do you see the big players in it? And how are they differentiated? Is that too much for the end of the call?
Cameron Hyzer: No. But Pat, I will just point out that I think our market cap is actually much larger than you quoted. One of the benefits of our reorganization is that we've simplified the share counts and everything else but I think we're north of 25% as of the close today. I just don't want anyone confused by that but I'll let Henry go into the where space is going.
Henry Schuck: Yes. And I think, Pat, I think it's a great question. I think the way we think about -- first, we look internally at our own operations, how are we going the market? We think we run one of the most sophisticated and efficient go-to-market engines in the world. And so we're looking at how -- what we're leveraging, what tools we're either building for our own go-to-market uses or buying and which ones are mission-critical and which ones get better with our data. And then, we're looking back at our own product and saying, if these tools were integrated inside the ZoomInfo platform, is that competitively differentiated? And so, I think what you've seen us build and buy are really opportunistic to look at how we go to market and conversation intelligence is a key part of that. Sales automation is a key part of that. Website chat is a key part of that. What we really see is a future where companies want all of these solutions integrated in one place and driven through their systems of record. What they don't want is for an account executive to sit down at their seat and have to log into 60 different platforms just to do their jobs. It's taxing. It's difficult from a management perspective. It's difficult from a training and onboarding perspective. And we think we have a real opportunity to bring that into one place and then drive it's effectiveness with our data and intelligence layer.
Patrick Walravens: All right, that's great. Thank you, Henry.
Henry Schuck: Thanks, Pat.
Operator: Your next question is from Brian Peterson with Raymond James.
Unidentified Analyst: Thanks. This is Chase [ph] on for Brian. Thanks for taking my question. Really strong results in International. I know you guys set up the first team this quarter but how do we think more broadly about your international expansion plans as we finish out 2021 and ahead of '22?
Henry Schuck: Yes. We see tremendous opportunity internationally. We think we're somewhere in the bottom or the top of the first inning internationally. And every time we step up to bat there, we're getting hits. And so we think there is a big opportunity there. We're going to continue to invest behind it, both from a data perspective and from a go-to-market perspective. And so I would expect to see us continue to drive growth internationally, both in Europe and outside of Europe and continue to invest in our go-to-market and product differentiation in those regions.
Unidentified Analyst: Perfect. Thanks, guys.
Henry Schuck: Great. Thanks, everyone. Thanks, everybody. And as Jerry indicated, we have a very active IR calendar in Q4. For more information on where we'll be and which events we're attending, please visit our IR website at ir.zoominfo.com. I appreciate you all joining us today. Thank you.
Operator: That concludes today's conference. You may now disconnect.